Operator: Good morning, and welcome to the SUMR Brands Third Quarter 2021 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Chris Witty, the Investor Relations Adviser. Please go ahead.
Chris Witty: Hello, and welcome to the SUMR Brands 2021 Third Quarter Conference Call. With me on the call today is the company's CEO, Stuart Noyes; and Interim CFO, Bruce Meier. I would now like to provide a brief safe harbor statement. This call may include forward-looking statements that relate to SUMR Brands' outlook for 2021 and beyond. These forward-looking statements are subject to various risks and uncertainties that could cause actual results and events to differ materially from these statements. Please refer to the risk factors contained in the company's annual report on Form 10-K, its quarterly reports on Form 10-Q and in our other filings with the Securities and Exchange Commission.  During the call, management may make references to adjusted EBITDA, adjusted net income and adjusted earnings per share. These metrics are non-GAAP financial measures, which the company believes help investors gain a meaningful understanding of changes in SUMR Brands' operation. For more information on non-GAAP financial measures, please see the table for a reconciliation of GAAP results to non-GAAP measures included in the company's financial release issued yesterday evening.  And with that, I'd like to turn the call over to Stuart Noyes. Stuart?
Stuart Noyes: Thanks, Chris, and good morning, everyone. We appreciate you joining our third quarter conference call today. I'll start by providing an overview of recent developments, after which, Bruce will go through our financial results in detail.  When we last spoke, the team and I were very clear on the issues facing SUMR Brands, which were those being faced by the entire industry. There was really nothing operationally specific to us as a company but rather involve supply chain challenges impacting thousands of organizations around the globe, affecting product availability as well as driving up our costs. As I'm sure our listeners are aware, these factors have not gone away.  However, I'm pleased that our team, to the best of their ability, have proven adept at managing through this difficult situation. Their work has, at a minimum, increased inventory levels and gotten more product into the hands of our consumers, who continue to exhibit high demand for many of our core category offerings.  Net sales rose to $41.6 million this quarter versus $40.7 million a year ago and a significant improvement over the second quarter's $30.6 million. Even with ongoing supply chain disruptions and resurgent pandemic-related restrictions, we were also successful in shifting certain domestic sales to direct import, avoiding some of the logistical bottlenecks the company otherwise experienced.  We posted earnings of $0.12 per share and adjusted EBITDA of $2.4 million, again, a substantial improvement over quarter 2 results, excluding the benefit from the PPP loan forgiveness.  Many of our categories saw solid demand during the quarter with revenue growth across gates, bathers, entertainers, specialty blankets, strollers and boosters. While we would have liked to ship more product, revenue through the company's top customers, particularly through e-commerce channels, remain strong.  Bottom line results were once again negatively impacted by higher freight expense and, in some areas, increased raw material costs. We are doing everything that we can control to mitigate these issues and raise prices when possible to offset the additional expense.  Container rates continue to be unusually high and hard to forecast. But we are aggressively seeking out opportunities to ship greater volumes when possible, use alternative routes when available and ship more product through our direct import channels. All of these actions have positively impacted our results this quarter and we anticipate will again help in quarter 4.  As with last quarter, we simply have more demand than we can satisfy. And the reality is that we cannot say that current supply chain bottlenecks appear to be subsiding. However, we are working hard to overcome various parts of this puzzle to build a better level of inventory available for sale while in-transit products are a higher-than-normal percentage of the total inventory at this time. We are, at times, seeing improvement in the supply chain but cannot say with certainty if this is temporary or not.  As Bruce will review further in a moment, we took on debt this quarter to handle working capital issues and ensure we had inventory on hand. This does not mean that we are taking our eye off the balance sheet. Rather, we are doing what is necessary to grow the company out of this current predicament. We remain dedicated to keeping debt levels low in delevering the balance sheet when possible. In the current environment, while cautiously optimistic, we will remain vigilant in operating SUMR Brands as efficiently as possible.  Before turning the call over to Bruce, let me add that our pet expansion is on track for launch next year. And we continue to believe that these additions to our product portfolio will help strengthen our overall market presence as well as open up new avenues of growth to the company.  Our product and marketing teams are focused on creating new innovative products, broadening the depth and breadth of our brands and increasing consumer demand. I feel optimistic about 2022 given the strategic plans we've implemented and our ability to execute on this vision.  I'd once again like to thank our investors for their steadfast support over the past year. While we could not have predicted the supply chain inefficiencies, never mind the pandemic, our results have been a disappointment just as we were at the point of taking SUMR to the next level in terms of growth and operating performance. That said, I am very proud of the team at the company and what they've been able to accomplish during an extreme and unusual circumstance.  With that, I'll turn it over to Bruce to review our financial results in detail. Bruce?
Bruce Meier: Thanks, Stuart, and good morning, everyone. As a reminder, our 10-Q and related press release were issued yesterday. In addition to listening to this conference call, I encourage you to review our filings.  Now to the results. Third quarter net sales were $41.6 million, compared with $40.7 million in the third quarter of fiscal 2020 and $30.6 million in the second quarter of 2021, showing substantial improvement sequentially. The company's higher revenue year-over-year reflects growth in many product categories, including gates, bathers, entertainers, specialty blankets, strollers, and boosters; as Stuart mentioned, offset by the negative impact of logistical challenges across the global supply chain.  This resulted in missed shipment opportunities, without which, sales would have been higher. Notably, revenue derived from the company's top customers, particularly through e-commerce channels, remain strong. Gross profit was $11.8 million for the third quarter of fiscal 2021 versus $13.5 million in 2020. And our gross margin as a percentage of sales was 28.3% versus 33.3% last year. The year-over-year margin decline primarily reflects an increase in transportation and raw material costs and the fact that certain items were no longer receiving tariff exclusions granted in 2020. We are taking every step possible to safeguard and improve margins going forward, including raising prices when appropriate.  Selling expense was $3.1 million in the third quarter versus $2.8 million in the prior year period and as a percentage of net sales was 7.5% this year versus 6.9% in 2020. The increase year-over-year and as a percentage of revenue was primarily due to higher freight-out costs. General and administrative expenses were $7.1 million in the third quarter versus $6.9 million in the prior year period. And G&A as a percentage of sales was 17.1% this year versus 16.9% in 2020. The year-over-year change reflects higher distribution costs as well as an increase in customer-related charge-backs, a result of order cutbacks when demand could not be met.  Interest expense was $0.3 million in the third quarter of 2021 versus $1.0 million in 2020, reflecting more attractive interest rates following the company's refinancing of its credit facilities in the fourth quarter of 2020. The company reported net income of $0.3 million or $0.12 per share in the third quarter of 2021 compared with $2.2 million or $1.03 per share in the prior year period. Note that the fiscal 2020 third quarter was favorably impacted by a tax provision adjustment related to changes in the interest deduction threshold under the U.S. CARES Act worth approximately $0.17 per share.  The company recorded a tax provision of $0.4 million in the fiscal 2021 third quarter versus a tax benefit of $0.2 million in the comparable period of fiscal 2020. Adjusted EBITDA for the third quarter of 2021 was $2.4 million versus $4.7 million in the third quarter of 2020. Adjusted EBITDA in 2021 included $0.9 million in bank permitted add-back charges compared with $0.7 million in add-back for the prior year period. Adjusted EBITDA as a percent of net sales was 5.8% in fiscal 2021 versus 11.4% last year.  Turning to the balance sheet. As of October 2, 2021, Summer Infant had approximately $0.4 million of cash and $36.6 million of bank debt compared with $0.5 million of cash and $30.9 million of bank debt at the beginning of fiscal 2021. As Stuart mentioned, we utilized debt this quarter to manage our working capital requirements and ensure inventory was available to better meet market demand. Inventory at the end of the third quarter was $24.7 million compared with $25.1 million as of January 2, 2021, and our inventory turns were 4.8 versus 4.0 turns at the beginning of the year.  Trade receivables as of October 2, 2021, were $34.4 million compared with $26.0 million at the beginning of fiscal 2021. Days sales outstanding, or DSOs, were 75 as compared to 66 at the start of the year. Accounts payable and accrued expenses were $33.6 million as of October 2, 2021, compared with $34.1 million at the beginning of the fiscal year.  With that, I'll turn the call over to the operator and open it up for questions.
Operator: [Operator Instructions]. Our first question today comes from Eric Beder with SCC Research.
Eric Beder: Congratulations on muddling through here. You shipped -- you talked about shipping some of your shipments to direct to the customer. Obviously, there is a cost to that. How should we be thinking -- obviously, it helped you meet more of your contract demands. How should we be thinking about that going forward? Is that going to continue, do you think, to be a key piece of this business? Is it going to continue to increase?
Stuart Noyes: Yes, for sure. We're working with our different customers now to take that number up or, in some cases, actually start the program with certain customers. We're going to be doing it the first of the year. Obviously, it takes -- because the POS are built, too, and they actually take the freight and move the freight from Asia.
Eric Beder: Okay. So that's going to -- and should we think about that as continuing to be a drag kind of on margins going forward also?
Stuart Noyes: Yes. I mean, look, it's -- it actually is a drag on the top line, the revenue. And if we can -- in many cases, it may be better on some of the margins than the actual percent to the bottom line. So it actually -- on the top line but not so much on the bottom line.
Eric Beder: Okay. You mentioned this new pet initiative. Is it possible you can give us a little bit more information on that? I know you guys do a great business with the gates and some of the other pet products. And kind of where are you looking to expand in terms of, I guess, product lines or customer base with that, too?
Stuart Noyes: Yes. So look, it's -- the product line -- we're at kind of the 11th hour now on final decisions on a few categories, that type of thing. But it will be some accessories, whether it's bowls or collars, leases, things like that. And then we're kind of -- right now, we're working through the time line on introduction to that. As you've mentioned, gates, we've already started, although there will be a new branding effort that you'll see in the gates early next year. And then we've got marketing plans in place to build that.  As it is your question on the customers, online first and then regional. And then we would go to more national type of thing. But online is an easy start-up, as you know. You can get your SKUs placed, things like that very quickly and efficiently. And then it would be mid-tier/specialty to the bigger customers later on as we work our way through the launch.
Eric Beder: And is this also having the same kind of issues in the supply chain in terms of what you'd like to do versus what you're going to be able to do here? Or do you think it's going to start easing up? Or is that not happening for you?
Stuart Noyes: It's actually a -- that's one of the things we're considering, too, is if we're having supply chain issues, when is the right time to launch and what are the categories because we obviously don't want to launch something new and then run into an out-of-stock or that type of thing with the customer. So we're being very pragmatic about that and careful. And that's why there'll be different launch times on the time line to make sure we're walking before we run there. But look, a lot of that product also comes from Asia. So you're facing the same logistical challenges that you're doing in any business today.
Eric Beder: Okay. And last question. I know you guys are always pretty innovative in terms of your product. How have you been able to kind of manage and stay innovative here while at the same time trying to get availability to get product to come through?
Stuart Noyes: Yes. Well, as a product development is 1, 2 and 3 years out, we actually have road maps about 3 years. So we don't slow that team down on working on that. And look developing it still can be done. That's that -- I don't want to call it the easy part but that's the part that doesn't slow down. It's been actually getting it into production and then getting it in the hands of consumers.  I will tell you, our team internally, they meet actually once a week to go through a whole review on launch product. Are we on time? What do we need to do to make sure we're shortening the life cycle or building in extra weeks to make sure we hit launches at our major customers?
Operator: [Operator Instructions]. At this time, there appear to be no further questions. So I'd like to turn the call back over to Mr. Noyes for any closing remarks.
Stuart Noyes: Thank you very much. Well, thank you, everybody, for joining us for today's call. And we look forward to speaking with everybody in our next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.